Operator: Good day, ladies and gentlemen. This afternoon, Bohn Crain, Radiant Logistics’ Founder and CEO; and Radiant’s Chief Financial Officer, Todd Macomber, will discuss financial results for the company’s Fourth Fiscal Quarter and 12 Months ended June 30, 2020. Following their comments, we will open the call to questions. This conference is scheduled for 30 minutes. This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The company has based these forward-looking statements on its current expectations and projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the company that may cause the company’s actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements. While it is impossible to identify all the factors that may cause the company’s actual results or achievements to differ materially from those set forth in our forward-looking statements, such factors include those that have in the past or may in the future, be identified in the company’s SEC filings and other public announcements, which are available on the Radiant website at www.radiantdelivers.com. In addition, past results are not necessarily an indication of future performance. Now, I’d like to pass the call over to Radiant’s Founder and CEO, Bohn Crain. Sir, the floor is yours.
Bohn Crain: Thanks, Toren. Good afternoon, everyone, and thank you for joining in on today’s call. I’m very proud of the Radiant network and our collective response to the challenges presented by the COVID-19 pandemic. Since late March, we have been focusing on delivering against four key objectives: ensuring the health and safety of our employees, providing supply chain continuity for our customers, operating partners and carriers, protecting the economic security of our people to the greatest extent possible, and taking steps necessary to mitigate the impacts of the slowing economy on our business. Although the pandemic has had substantial negative impact on many of the industry verticals and customers that we serve, we are proud to be playing an active role in the fight against COVID-19, delivering personal protective equipment, food and beverage, consumer goods, technology and other essential products to customers across North America and around the world. Our work, particularly in support of the movement of PPE, has helped us to achieve record results of $13.1 million in adjusted EBITDA on $275.5 million revenues for the quarter ended June 30, 2020. We are fortunate to have entered this economic downturn with very low leverage on our balance sheet. In addition, we aggressively work to preserve our liquidity, tabling any acquisition efforts, suspending our stock buyback program, deferring discretionary technology investments, reducing our discretionary operating expenses and initiating a series of temporary workforce reductions. In the face of COVID-19, these proactive measures, along with our work and supporting essential businesses, has allowed us to continue to pay down our debt even during the pandemic. As of June 30, we had $34.8 million of cash on hand and net debt of $17.1 million, less than one half of one turn of our trailing 12 months EBITDA, giving us additional financial flexibility to navigate any further market weakness, as well as the ability to pursue new acquisition opportunities into the future. Although the overall demand for transportation services has been significantly impacted around the world, we are seeing slow and steady improvement across many industry verticals that we serve, and we are optimistic about the economy and its continued recovery. As a result, we have begun to restore salaries of our employees, return many of our furloughed employees to work and will be forever grateful to our team of employees and operating partners who have worked so resiliently to support our customers through this pandemic. In the months ahead, we will continue to closely monitor how we, and the economy, are progressing and look forward to reengaging in acquisition and/or our stock buyback activities as the opportunities present themselves. With our diversity of customers and service offerings, the strength of our balance sheet, the scalability of our technology and the commitment of our teammates, we believe we are well-positioned to emerge from the pandemic as a stronger, more vibrant [company] [ph]. With that, I’ll turn the call over to Todd Macomber, our CFO, to walk us through our detailed financial results, and then we’ll open it up for Q&A.
Todd Macomber: Thanks, Bohn, and good afternoon, everyone. Today, we will be discussing our financial results, including adjusted net income and adjusted EBITDA for the three and 12 months ended June 30, 2020. For the three months ended June 30, 2020, we reported net income attributable to common stockholders of $4,665,000 on $275.5 million of revenues, or $0.09 per basic and fully diluted share, which included a charge of $1.7 million for change in contingent consideration. For the three months ended June 30, 2019, we reported net income attributable to common stockholders of $4,461,000 on $204.6 million of revenues, or $0.09 per basic and fully diluted share. This represents an increase of approximately $204,000 over the comparable prior year period, or 4.6%. For the three months ended June 30, 2020, we reported adjusted net income attributable to common stockholders of $8,883,000. For the three months ended June 30, 2019, we reported adjusted net income attributable to common stockholders of $7,538,000, which represents an increase of approximately $1,345,000, or approximately 17.8%. We reported adjusted EBITDA of $13,148,000 for the three months ended June 30, 2020, compared to adjusted EBITDA of $11,011,000 for three months ended June 30, 2019. This represents an increase of approximately $2,137,000, or approximately 19.4%. Moving along to 12 months results. For the 12 months ended June 30, 2020, we reported net income attributable to common stockholders of $10,541,000 on $855.2 million of revenues, or $0.21 per basic and fully diluted share. For the 12 months ended June 30, 2019, we reported net income attributable to common stockholders of $13,731,000 on $890.5 million of revenues, or $0.28 per basic and $0.27 per fully diluted share. This represents a decrease of approximately $3,190,000 over the comparable prior year period or 23.2%. For the 12 months ended June 30, 2020, we reported adjusted net income attributable to common stockholders of $25,632,000. For the 12 months ended June 30, 2019, we reported adjusted net income attributable to common stockholders of $26,648,000. This represents a decrease of approximately $1,016,000, or approximately 3.8%. We reported adjusted EBITDA of $38,259,000 for the 12 months ended June 30, 2020, compared to adjusted EBITDA of $40,760,000 for the 12 months ended June 30, 2019. This represents a decrease of approximately $2,501,000, or approximately 6.1%. With that, I will turn the call back over to our moderator to facilitate any Q&A from our callers.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] We’ll take our first question from John Godin with Lake Street Capital. Please go ahead.
John Godin: Yes, I appreciate you taking my questions. I guess kind of big picture here is you will look at the business and as maybe things are starting to kind of turn around off the lows are there any verticals in particular where you’re seeing maybe some increased strength or that you think could help drive results going into 2021? Thanks.
Bohn Crain: Sure. There’s a number of categories, right, certainly, some of the categories that have performed well recently, life sciences, food and beverage, CPG, all of those have proved very durable. And so we expect those to continue to perform well in this market environment. We did quite a bit obviously this last quarter in the humanitarian aid category in PPE. It remains to be seen kind of what type of opportunities around the ultimate distribution of the vaccine might present themselves, but we’re very bullish on life sciences and what those opportunities might represent over the longer-term. At the same time, with – in this kind of increasingly tight markets environment, some other segments of our business, I’m thinking specifically of Clipper, our U.S. brokerage, intermodal and truck brokerage operations out of Chicago, I think, we’ll see some good results coming out of that group in the quarters ahead.
John Godin: Okay, cool. And just flipping to the PPE, I guess, could you help us kind of understand how those transactions initially came about? And maybe walk us through at a high level of kind of what the margin profile of that type of business looks like compared to your more traditional business? Thanks.
Bohn Crain: Sure. Well, I mean, PPE can take lots of forms, I guess. For us, we did a significant amount of international air charters, chartering aircraft and ultimately, charters are relatively low-margin business. So that’s why you see kind of the unusually high top line revenues and the unusually low gross margin percentage as that spike in activity, while certainly helped our gross margin dollars, and it was something we were proud to be a part of, if you look at on our gross margin percentage basis, that would manifest itself as margin compression for the quarter. But – so I guess, precisely to your question, for us, it was a lot of international air charters moving masks, gowns, face guards from manufacturing points in Asia, inbound to various points across North America.
John Godin: Okay. And last one for me. I know you touched on it a little bit. But as you kind of sit back and look at the landscape of potential acquisitions, just kind of given the current environment, I mean, has – how you guys think about those changed at all? Or could there potentially be more opportunities out there, given the current environment?
Bohn Crain: I think it’ll be an interesting time. We’re very, again, very fortunate to kind of enter the – entered this whole economic cycle, that’s what we’re going to call it, with very low leverage. And based upon our recent results have been able to continue to pay down debt and accumulate cash on our balance sheet. So in terms of durability and kind of coming through the proverbial eye of the storm, I think, we’re in really good position. And so we have more financial flexibility than certainly some you read about who are having to really lever up their businesses in this environment. So that may well put us in a good position to be perhaps more actionable than others as opportunities present themselves. At the same time, it will be an interesting dynamic, because my general expectation would be that, any company’s trailing 12-month earnings right now are either unusually high or unusually low. And so reaching some consensus around kind of normalized earnings power around, which to gear a transaction, I think, that will be where a lot of the work is not just for us, but anybody trying to get deals done kind of in the rearview mirror of COVID.
John Godin: All right. Thank you, guys, very much. Congrats on a nice quarter.
Bohn Crain: All right. Thank you.
Todd Macomber: Thank you.
Operator: [Operator Instructions] Sir, there appear to be no further questions at this time. Oh, my apologies, we do have a question now from Alex Brand with Wells Fargo. Please go ahead, sir.
Alex Brand: Well, I didn’t think they’re going to let me in, Bohn. How are you doing?
Bohn Crain: We’re always happy to have you. We’re doing well. How are you?
Alex Brand: Good, good. So just a little segue off that last question. I think - I’m not sell-side or anymore, but I think this is probably the best free cash flow quarter you’ve ever had. So…
Bohn Crain: Yes.
Alex Brand: So it looks like you’re headed towards a debt-free balance sheet. And I guess, I thought, what was the buyback program heading into this? And sort of where does the enthusiasm for that stand in light of balance sheet, cash flow and weighing that against acquisition opportunities?
Bohn Crain: Sure. And, Todd, correct me if I’m wrong, but I believe we were authorized to purchase up to 5 million shares. And that – I believe that program is authorized through the end of calendar 2021, I think, is the…
Todd Macomber: That’s right.
Bohn Crain: …scope of the program. And we had begun to get active in the stock buyback kind of heading into COVID. So I think we had spent $1 million in the quarter ended December and maybe $1.5 million in quarter ended March, before we kind of came to realize what was going on and kind of press the pause on all of that. So, it’s out there and we were kind of beginning to make good on the buyback. And ultimately, the – I think, we’ll still continue to look at things the same way, which is look at our overall liquidity, look at the M&A pipeline, think about financial flexibility, target leverage ratios and kind of make a decision within that framework. So there’s no - not necessarily a bright line at dollar sign blank. We will buy in a dollar sign and why we won’t. It’ll be more kind of evaluated in the context of kind of competing uses of the capital, whether it’s an M&A opportunity or investing in incremental sales resources to drive organic growth, a number of these things will come into play. But it’ll certainly remain a very viable option for us as we think about how we deploy our capital.
Alex Brand: Okay. And then with respect to, I think, FEMA presents this – you had this kind of one-time opportunity. But I think maybe there’s a misunderstanding that this kind of goes away overnight, and my thought would be that it more winds down than just goes away. Can you just, at a high level, talk about how project work can be offset by improving fundamentals and underlying trends you’re seeing in the core business? And maybe help us think about how that’s starting to look?
Bohn Crain: Sure. I guess, let me start with a comment that goes back to the diversity of our customer base and service offerings, because ultimately, we do a lot of different things. And ultimately, they can counterbalance themselves in varying market cycles as we’re seeing here. The FEMA or other similar project work, I think, ultimately, is the proverbial recurring, non-recurring type items. So while in this most recent quarter, we were very active in PPE, we’ve been active historically with FEMA and responding to hurricanes and typhoons and other humanitarian initiatives. And so, we have a good, strong relationship with FEMA and others, and we would hope to have an opportunity to continue to support them when those opportunities present themselves. So, we certainly aren’t – it’s fair to say, this – the COVID pandemic was, hopefully, a one in a lifetime experience.
Alex Brand: Right.
Bohn Crain: So we’re certainly not expecting to have a similar experience relative to the most recent quarter. But back to this notion of recurring, non-recurring work, we’ll be here to support FEMA or – and/or others when the phone rings. And unfortunately, there’s always stuff going on out there in the world that we’ll likely have an opportunity to support.
Alex Brand: Well, thank you. It’s been a long time since I was on a call like this, Bohn. So thank you. And by the way, I think, you guys deserve some real props for not only winning that countercyclical business that helped you through this, but for doing a great job with it. So congrats on that.
Bohn Crain: Thank you.
Operator: [Operator Instructions] And sir, there appear to be no further questions at this time.
Bohn Crain: All right. Let me close by saying that we remain very bullish on our prospects and the scalable non-asset-based platform that we’ve created at Radiant. Our unique multi-brand strategy in consolidating agent-based forwarding networks, industry-leading technology platform and low leverage on our balance sheet puts us in a unique position to navigate these markets and position ourselves to emerge from this pandemic as a stronger competitor. Ultimately, the economy will recover. As this happens, we believe this will create an opportunity to support our customers in bringing their supply chains back online. In the interim, we’ll continue to work to keep our employees safe and the essential freight moving, while giving our strategic operating partners and support they need. At the same time, we remain patiently persistent in the pursuit of our vision to leverage our multi-brand strategy and scalable back-office infrastructure to bring our unique value proposition to the agent-based forwarding community, which we believe over time, we’ll continue to deliver meaningful value for our shareholders, our operating partners and the end customers that we serve. Thanks for listening and your support of Radiant Logistics.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. We thank you for your participation. You may disconnect your lines at this time, and have a great day.